Operator: Greetings. And welcome to the Polaris Renewable Energy Incorporated Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. And a question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference call over to your host, Mr. Anton Jelic. Sir, you may begin.
Anton Jelic: Thanks, Ali. Good morning everyone and welcome to the 2023 Q4 and annual earnings call for Polaris Renewable Energy. In addition to our press release issued earlier today, you can find our financial statements, annual information form, sustainability report and MD&A on both SEDAR+ and on our corporate website at polarisrei.com. Unless noted otherwise, all amounts referred to are denominated in U.S. dollars. I'd also like to remind you that comments made during this call may include forward-looking statements within the meaning of applicable Canadian securities legislation regarding the future performance of Polaris Renewable Energy and its subsidiaries. These statements are current expectations and as such are subject to a variety of risks and uncertainties that could cause actual results to differ materially from current expectations. These risks and uncertainties include the factors discussed in the company's annual information form for the year ended December 31, 2023. I'm joined this morning as always by Marc Murnaghan, CEO of Polaris. At this time, I'll walk you through our financial highlights. Power generation. During the 12 months ended December 31, power production was 800,951 megawatt hours compared to 649,756 megawatt hours in the 12 months ended December 31, 2022. During the three months ended December 31, quarterly consolidated power production was higher than the same period in 2022 mainly driven by an increase in production in Peru due to better overall hydrology. For Nicaragua, in the fourth quarter of 2023, production was comparable to the production in last year with 112,196 megawatt hours produced. Incremental temporary instability in cycling wells was offset by the additional energy generated by our new Binary plant. Consolidated production in Peru for the three months ended December 31 was higher at 54,514 megawatt hours than the comparative period last year due to greater water availability at both El Carmen and Ocho de Agosto. The rainy season which typically starts in October brought higher than average rainfall into the region in the fourth quarter. At our Dominican Republic, Canoa I solar facility, we produced 12,830 megawatt hours in the three months ending December 31. This is lower than the fourth quarter of 2022 due to resource availability, namely a longer rainy season compared to the prior year. For Ecuador, in the fourth quarter of 2023, Jose de Minas average production of 8,301 megawatt hours was higher than the compared period in 2022 also due to resource availability. Overall and similar to Peru, production in Ecuador is driven by the dry and wet season with the rainy season generally starting in October, November and running until May, June. And finally in Panama, Vista Hermosa Solar Park production of 4,980 megawatt hours for three months ended December 31 was within the range of the company's expectations. Revenue. Revenue was $78.5 million during 12 months ended December 31 compared to $62.6 million in the same period last year. The increase was the combined result of the additional revenue from the facilities in the Dominican Republic, Ecuador and Panama coupled with higher effective PPA prices applied to our Peruvian facilities. Net earnings. Earnings attributable to owners was $11.7 million for the 12 months ended December 31 compared to $2.5 million earnings for the same period in the prior year. The increase was a combined result of higher operating margins and a higher deferred tax benefit. Adjusted EBITDA. Adjusted EBITDA was $57.7 million for the 12 months ended December 31st compared to $44.9 million for the same period in 2022, principally as a result of higher operating margins. Cash generation. Net cash from operating activities for the 12 months ended December 31, higher than the $33.5 million for the same period in 2022 mainly due again to higher operating margins. Net cash used in investing activities for the 12 months ended December 31 was $11.4 million compared to $66 million in the same period last year. There was $32.4 million spent for acquisitions combined with $29.1 million spent in the construction of the Binary unit in Nicaragua and the Vista Hermosa Solar Park in Panama. And finally, net cash used in financing activities for the 12 months ended December 31 of $27.7 million compared to $30.1 million net cash from financing activities reported in the same period last year. In 2022, the company of course refinanced PENSA senior debt incurring additional cash disbursements. Dividend. Finally, I would like to highlight that we have already announced we will be paying a quarterly dividend on February 23rd of $0.15 per share to shareholders of record on February 12. With that, I'll turn the call over to Marc who will elaborate on current business matters as well as on our quarter and year-end results respectively. Thank you.
Marc Murnaghan: Great. Thanks, Anton. So just start by again, I'll highlight the $57.7 million of EBITDA compared to $44.9 million the year before, principally driven by the Binary unit solar project as well as the acquisitions that were completed. And so we had a full-year last year, but focusing on the Binary unit and the solar. What I will just mention there is that those are two projects that the Polaris team constructed and executed on its own and they're working very well. So those are the two big contributors to the increase in EBITDA – year-over-year EBITDA. Going in more into the quarter, in terms of San Jacinto, it was somewhat lower than we had expected going into the quarter. We had two wells namely 9.3 and 6.2 [ph] that did exhibit more cycling behavior than normal in, call it mid-November through December. Subsequently, we changed our injection scheme, reducing injection into certain wells based on discussions with our technical consultants and that has yielded improvements. To give you some numbers there, we were net including the Binary unit in Q4, we were net 50.7 megawatts in Q4, year-to-date we're at 53.1 megawatts and month to date 55 megawatts, which is more in line with our annual target for the year, which is I think where we're landing at, which is call it 55 megawatts net with the Binary, which would give you around 470,000 megawatt hours a year at San Jacinto. And that also is net of major maintenance, which is scheduled for April this year. And that has an impact of approximately 8,000 megawatt hours. So that needs to be taken into account, but the 470 that I'm mentioning is after the impact of the major maintenance program. The rest of the plants on a combined basis, I would say came in as expected. Hydrology was very good in Peru and continues to be. As Anton mentioned, the solar radiation and the DR at Canoa was a little light due to the longer rainy season, but the combination of those two was still positive. I would say all of the plants in Panama was in line with our expectations. I would say we would not -- we would maintain sort of our long-term production estimates for all of these plants in Peru, Ecuador, Dominican and Panama. So we would keep those. We wouldn't make any production changes to our estimates for this year. In terms of programs, we're working on now, we have already commenced the optimization, the first stage at Canoa I with some new panels. We actually -- CapEx was spent at $3.6 million in Q4. So that is our cash number is net of that and that's we should have about another $1 million to $1.5 million to finish this first phase. We have already started doing replacements. We expect full completion by July. However, we will start to see some positive results in Q2, more in Q3, almost the full quarter in Q3 and then full results in Q4. So that is well on the way and expect to be done, as I said July of this year. And we're looking at, call it, $1.5 million to $1.8 million in extra cash flow and revenue from that program. And in terms of, call it, longer term solar storage, we have had what we've considered to be very good meetings with the government authorities and all signals are pointing to very quick approval of the first step, which is just changing our environmental permit, which we don't see any issues with and everything's moving as expected, if not a little bit quicker on that front. And so we hope to have some news on that very quickly. And then following that, we will move to change the concession, which again we don't see any issues there. So we would expect, that is something by midyear this year we're ready to go on and we're already in full sort of quotation mode with panel suppliers and battery suppliers and everything on that front is looking very good on the cost side on both of those fronts. So that is moving and we anticipate having development news milestones in the next three, four, five months. And just one of the things worth mentioning is we have -- we are looking at and are very close to finalizing what we think is a really good use of the older panels "older, they're not that old", but they are the old panels that we're replacing at Canoa and we are looking at repurposing them actually in San Jacinto and Nicaragua because we do have, we have about six megawatts of actual parasitic load 24/7. And legally and contractually, we are allowed to behind the fence supplies that load. So that would effectively have the impact of taking these panels getting what we think is about 15,000 megawatt hours a year at $111 per megawatt hour, which is our contract price in Nicaragua. So that's about $1.6 million in revenue a year on CapEx of what we think is, call it 4x to sort of 2.5x which is excellent. And the reason there is CapEx there is that you still need the inverters and the racking, but we think that's a low risk very attractive return. So we are looking at repurposing those. So and when we looked at the original Canoa numbers, we obviously were not assuming we were going to be able to do something like that. So I think that's actually it's not huge, but it's a very good project and we should have those milestones. I think things should move quite quickly on that in Nicaragua. So we should be adding that into sort of the internal development pipeline as well. We finished the year with $44.6 million in cash, total cash consolidated. And so that the cash was up year-over-year. The debt is down. So the net balance sheet has improved. That does lead a conversation on the NCIB, which we did put in place. We purchased 22,000 shares in November, and then we did not purchase any in December. And we have received questions about why the NCIB purchases were put on hold. And we've -- so the update on that is that we had agreed upon with the board certain parameters as to when we would step into the market and based on our cash position and projected cash. And but simply put, there were two factors that changed in December. One, which was not a big one, but it was the increased confidence in the storage project in the Dominican. All signs pointing to that is moving ahead nicely. And so we do have some capital in the budget this year set aside for that. And again that the returns on that are very good. They're north of 15% IRR. So it more than meets the hurdle and we need to set aside capital for that. And the other big factor is as we've everybody knows, we've grown partially through acquisitions. We are and we've maintained that as part of the plan to continue to look at acquisitions. And I would say two acquisitions that we've been -- that we were looking at through the back half of last year progressed from call it early stage to much more advanced stages and to a high level of confidence that there's something to be done there. Hence that the combination of those acquisition opportunities plus what we're doing at Canoa exceeds, call it, our cash position and they all come at attractive return profiles. So that's why so we do view us as having a very high likelihood that we will be using that extra cash that we have on hand in growing the business and diversifying the business in high return opportunities. We really do believe that that's the better outcome in the medium and the long-term for shareholders in terms of how we get our multiple, high grading our multiple. And then in addition to call it the cash on hand, how else would we finance this growth? It's going to be a combination of excess cash on hand, the excess cash flow in excess of our dividend. And then the next one really would be, I would call it project finance, which remains -- there's a very strong interest for projects like Canoa given the contract -- the contract length. So we have a lot of inbound interest to finance that. So I think that would be sort of plan number one. And then the rates that we're seeing on, call it the longer term project finance markets are still quite good and that we can still get our mid teen returns at those levels. So that would be, call it, Plan A. And then I do think that with our balance sheet the way it is, we're at -- I would have us at about net debt to EBITDA this year of call it 2% to 3%, 2% to 4% heading down to 2% by the end of the year based on our current amortization schedules, which given our contract profile is quite low, very low. So at some point, I think this year we will look to see if call it a corporate bond or corporate loan on a consolidated basis could be an interesting alternative relative to the project finance market. So I think we have several to look at, which is the project finance and/or the corporate bond, and we will be likely looking at both of those. And then lastly, I guess regarding the dividend, we are comfortable with the current level. We'd always built in, I would say, call it a low pay ratio. And we have a lot of flexibility there. This year, we will be around the 50%, 55% based on our current estimates. And realistically, that number is going to be going down over the next three to five years based on our plan. So in terms of what we think is the right model, I think something in and around that 50% in this environment is a good level over the long term. And so I think the plan would be to continue that 50% payout ratio. And as we bring in new projects, whether it's Canoa or acquisitions that we're looking at and to the extent there's excess free cash flow, which we believe there will be and that payout ratio goes down in time, then we can look to do some dividend increases at that point in time. And that's it for the formal remarks. We can open it up to questions now.
Operator: Thank you. At this time, we will be conducting our question-and-answer session. [Operator Instructions]. Thank you. Our first question is coming from David Quezada of Raymond James. Your line is live.
David Quezada: Thanks. Good morning, Marc. Just a quick question, the M&A opportunities that you were mentioning that have, I guess become a bit more advanced lately. I'm not sure if you're able to, but it could -- is there any additional color you could share just in terms of like potential, I guess, size, jurisdiction or modality for those opportunities?
Marc Murnaghan: Yes. So the easier one is jurisdiction. I would say everything we're looking at would be perceived as a better credit than Nicaragua call it. So that is the -- that's first and foremost, and we are sticking with that. As well as a preference to actual they're not all in current jurisdictions, but there is -- there will still be a preference for that and call it the jurisdictions that we are, but I think we get a better sort of perceived credit rating, which would be Panama, Peru and the DR actually. So those are sort of jurisdictional comment. I think in terms of the size, what I would say is, if we have a bucket of three that are really advanced, I'd say two are completely manageable within our current balance sheet and one is not. So that's probably the only thing I would say on the size. But the one that's not is that that would be something that we would look to do, I would say, either more project finance to somewhere to fund it or corporate loan. We would not look to do equity at these levels to fund that. And then in terms of modalities, it's a mix. I would say there is a very small interest in adding wind to the portfolio. But I would also suggest that anything that as you know, we're quite keen on the storage opportunity in DR. I would say we are seeing some opportunities whereby it may not be now, but that we think if we think there's a longer term storage opportunity, whether it's on a solar site or a wind site, that is interesting to us.
David Quezada: Okay. Excellent. Thanks for that, Mark. That's great color. And then maybe just one on the refinancing that you mentioned. I'm wondering if there's any kind of like quantum you could put on, like just given your monitoring of the debt markets, like is there any kind of quantum you could put on how much the cost of funding could improve?
Marc Murnaghan: So yes, and it's just worth noting that it's not today. We can't -- we can refi our San Jacinto on Jan of next year. So I would say in terms of just a pure refinancing, that's really -- that would really be a back end of the year, which we will look to do. I mean, I think you're looking at a couple of 100 basis points potential savings and more importantly, an improvement in the amortization schedule because that loan is aiming [ph] down $10 million a year, which we would like to reduce that, because I think that $10 million is too fast for the life of that asset. So the benefit is for sure in some interest savings, but to me, I would even put more free cash flow in my hands from an amortization schedule benefit. So that's what I would see. So it's the combination of the two, which is great, but almost more of the amortization. It just gives us more ability to do more things.
David Quezada: Okay. Perfect. Thanks for that, Marc. And maybe just one last one for me if I could. Just thinking about the -- I know your appetite for putting capital into Nicaragua these days is probably a bit less, especially given opportunities that you've outlined. But I'm just curious, like as you add new projects and you diversify and you maybe refinance that asset. Does is there a point where you would look at, I don't know if you'd call them makeup wells or are there any attractive candidates in that field where you think you could get some sort of low hanging fruit in terms of new generation?
Marc Murnaghan: Yes. There is for sure. But I really would say on our own, that's five years, five to seven years out. Would we potentially look at if there's other capital that's we have a whole area that we think is very compelling in the west? But that's it's -- that would be quite challenging for us to go drill wells over there. But you could connect that into the current turbines, which would make it quite economic. But I think that would be challenging for us in the next five years, unless we found I would say some external capital whether that comes from the World Bank or KFW in Germany or something like that. So we would look at doing that, but only if it's, call it very capital light for us. Otherwise, yes, I think we're more continue to diversify, grow outside of Nicaragua. And in five, six, seven years, there for sure will be makeup opportunities for us to do our own drilling.
David Quezada: That's great color. Thanks, Marc. I'll turn it over.
Operator: Thank you. Our next question is coming from Nick Boychuk with Cormark Securities. Your line is live.
Nick Boychuk: Thanks. Good morning, Marc.
Marc Murnaghan: Hey, Nick.
Nick Boychuk: In the Dominican Republic, can you give us a little bit of an update on the transmission issue on the island? Specifically, how that's impacting either Canoa II or your opportunity with battery energy storage to kind of power shift?
Marc Murnaghan: Yes. So I'd say that the transmission system is still challenged, but not completely closed. I think that there are parallel conversations happening, which is on the storage side, it's more okay, there's permits and concessions that need to be changed to add storage just legally. But there's absolutely no, it's quite highly welcomed to bring in more energy, but at call it different times of the day, such that they can easily integrate it into a challenge system. So that's -- so technically speaking, it's call it everything welcome on that front, right? So it's more I would say that the work there is just getting through the legal entities and changing the paperwork. But the messaging is as fast as we can, like everyone's there to help. And whereas the on the Canoa II, we do need -- we need them to be comfortable that they can integrate it into the system and we think they can now, but they're just assessing. There are other solar projects. So they're doing very exhaustive studies And we're having I'd say very productive conversations at the same time. So we're -- just because we're doing the solar plus storage on Canoa I idea doesn't mean we are not trying to move forward Canoa II, because panels have continued to go down even since we did Panama, even since we did this replacement. So at that price, it's highly economic. So I don't know when, but I do think that we will get some kind of approval for that. But it's just a plain Canoa II without storage, send us your energy in the middle of the day. But that could take longer. I'd say that's sort of a 12-month timeline. But that could roll off nicely with what we're doing in terms of the staging of it right with the program at Canoa I. So it could be this -- should end up being a multi-year development to really grow the whole site.
Nick Boychuk: Got it. That makes sense. And then have the plans in Panama changed, if you're considering now moving the panels the old panels from Canoa I to Nicaragua? What's the plan for Panama and for building out some of those additional solar opportunities?
Marc Murnaghan: Yes. So I would say in terms of the numbers are just we think much better for those panels to go to Nicaragua, but that does not mean that we've -- we don't have anything in Panama that we're looking at this time, because we do still want to do more there. I just can't really have more color on it right now.
Nick Boychuk: Okay.
Marc Murnaghan: Give more color.
Nick Boychuk: Sure. Last one for me, just on the M&A following up on that question. Anything you can comment on the valuations? We've had past chats about how it seems as if sellers are starting to recognize the new environment. Are you seeing those valuation multiples come down to a much more attractive level? Or are they still kind of stuck on prices?
Marc Murnaghan: No. We're seeing them come down. Absolutely. And we are not I mean, we are -- I would say involved in a few clinical processes with bankers, but that's not the ones we're referring to. The ones we're referring to is -- they are very sort of unique situations and, yes, as rates stay higher longer, while that might be impacting us, let's say, on a cost of funding side, I think it's -- we're going to get more of it on the other end, because people are realizing that we're not going to run back down to 1% interest rates here on the vendor side. So yes, we are seeing that.
Nick Boychuk: Okay, cool. Appreciate the color. Thank you.
Operator: Thank you. [Operator Instructions]. Thank you. We have a question from Devin Schilling with PI Financial. Your line is live.
Devin Schilling: Hi, Marc. Good morning. Maybe if you can just comment a little bit on Ecuador with the San Jose de Minas expansion project. Where you guys are sitting with this initiative?
Marc Murnaghan: Yes, it's on hold right now. We are expecting at some point later this year, we will -- we're going to get a requote call it on the work. And they know where we need to be to make it work. But at this point in time, where we were ending up was not a good use of capital. The return profile was going down to call it low double digits. So we did think that was appropriate for Ecuador, so we put that on pause.
Devin Schilling: Okay. And just remind me how much work was already conducted at this end?
Marc Murnaghan: In total about $700,000.
Devin Schilling: Okay. So yes, very early works here. Okay. No, that's helpful.
Marc Murnaghan: It's just not to say that we can't recover that either if we want to go ahead with it. So but that would be back half of the year if we do.
Devin Schilling: Okay, perfect. That's helpful. Thank you so much.
Operator: Thank you. As we have no further questions in queue at this time, this will conclude today's conference, and you may disconnect your lines. We thank you for your participation.